Operator: Good day and welcome to the Mirion Technologies First Quarter 2022 Earnings Conference Call. [Operator Instructions] Please also note this event is being recorded. And I would now like to turn the conference over to Alex Gaddy, Vice President of Finance and Investor Relations. Please go ahead.
Alex Gaddy: Good morning, everyone and thank you for joining Mirion’s first quarter 2022 earnings call. A reminder that comments made during this presentation will include forward-looking statements and actual results may differ materially from those projected in the forward-looking statements. The factors that could cause actual results to differ are discussed in our annual report on Form 10-K and quarterly reports on Form 10-Q that we file from time-to-time with the SEC under the caption Risk Factors and in Mirion’s other filings with the SEC. Quarterly references within today’s discussion are related to the first quarter ended March 31, 2022. The comments made during this call will also include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the appendix of this presentation accompanying this conference call, which can be found on Mirion’s IR website at ir.mirion.com. Joining me on the call today are Larry Kingsley, Chairman of the Board; Tom Logan, Founding Chief Executive Officer; and Brian Schopfer, Chief Financial Officer. Now, I will turn it over to our Chairman of the Board, Larry Kingsley. Larry?
Larry Kingsley: Thank you, Alex and good morning everyone. We appreciate your continued interest in Mirion and are excited to share our current assessment of the company’s performance and outlook. This morning, we announced our earnings results for the first quarter of 2022 and that provided an update to our expectations for the rest of the year. We will also share our view of how this dynamic environment impacts the short and long-term growth prospects for the business. I want to begin by highlighting some of the key trends that I’d like you to take away from this call. First, the operating environment remained challenging, and in some respects, deteriorated during the first quarter. The conflict in Ukraine and the supply chain issues specific to our bill of materials post significant challenges for our business, which we expect to continue. However, all things considered, Tom and I are proud of the team for taking the new variety of challenges head on and delivering a solid quarter of results. I believe that the team has positioned the company for success in the coming quarters. Second, demand remains robust for Mirion’s diverse set of products and services. As Tom and Brian will highlight in more detail later in the call Mirion’s order volume remains strong across both the industrial and medical segments. Finally, I want to express how well positioned Mirion is to deliver growth during the remainder of 2022. The company’s various end markets actually look stronger now than they did a year ago or even a quarter ago. Mirion maintained the leadership position in many of its product categories and is well positioned to outgrow its end markets. The team has a sturdy grip on the business. They are controlling what they can control and they’re responding well to what they cannot. There was a lot of noise in the first quarter, and there will likely continue to be some challenges in the short term. However, the business is poised to deliver strong results, consistent with how we have described our performance expectations for the company. It’s important to remind you that Mirion has a long history of delivering positive results in uncertain operating environments. I will now turn the call over to Tom Logan, Mirion’s CEO.
Tom Logan: Larry, thank you, and good morning to everyone. I’d like to begin my remarks by saying, firstly, thank you to all of my Mirion colleagues across the globe for your hard work, navigating the challenging operating environment throughout the first quarter. As Larry mentioned, our company faced multiple challenges to start the year, including the ongoing supply chain effects from the COVID pandemic, accelerating cost inflation, and certainly, most recently, the Ukraine conflict. These factors have had a negative impact on our short-term performance, but I believe that the inherent resilience of our business model positions us well for the road ahead. While this quarter’s performance fell short of our year-ago quarter, I can tell you that I’m extremely encouraged by the favorable evolution of our end markets, which is evidenced by strong order performance in the quarter. In fact, core orders grew approximately 19% year-over-year in the quarter, adjusted for the impacts of foreign exchange. Before I take you through the financial highlights, let me first dive a bit deeper into the market trends that we are currently seeing. First, the outlook in nuclear power has improved since our last call in February. The two most important factors defining the health of the commercial nuclear power industry are government support and the price of natural gas. Both of these factors have markedly, and I believe, permanently improved over the last few months. From a political standpoint, the Ukraine conflict has heightened the importance for energy independence in Europe. This has caused a number of nuclear states to enhance their commitments to nuclear power generation. Examples include Belgium, which has announced that it will life extend its operating plants by a decade. The UK announced 8 new nuclear projects, underpinning Boris Johnson’s objective of increasing the percentage of UK electrical generation derived from nuclear power from 16% to 25%. France announced 6 new EPR projects. And we expect to see sustained or accelerating new build activity in Bulgaria, Turkey, Hungary, Poland, the Czech Republic and elsewhere. Outside of Europe, a majority of Japanese citizens now favor nuclear power for the first time since Fukushima. And the presidential election results in South Korea will likely result in a significant acceleration of nuclear new build activity there. Finally, in the U.S., we have seen hundreds of millions of dollars of state level subsidies to existing nuclear power plants now supplemented by $6 billion in subsidies from the federal government as a component of the recent infrastructure bill. This political support is so striking that even California is reconsidering the shutdown of its last nuclear power station at Diablo Canyon. Looking now at natural gas pricing, even before the Ukraine conflict, prices had more than doubled year-over-year. We expect the new constraints on Russian export gas will put a floor under that, both in Europe as well as in the U.S., where marginal economics will favor greater LNG shipments into Europe. All of this means that the confidence and the profitability of the global nuclear industry is better than it has been at any time in my nearly two decades as CEO of this company. We believe that this in turn will likely lead to an increase in capital and operating budgets as operators seek to run plants at higher capacity factors and contemplate more life extensions. If true, this should have a direct and positive effect on the recurring revenue stream we enjoy from the installed base as well as the scope of new build activity we expect to support within our 5-year planning horizon. Let’s turn now to the Defense segment, which represents about 8% of our revenue. The Ukraine conflict has spawned enhanced military and civil defense concerns around the possibility of the nuclear or radiological incident in the region. As a consequence, NATO members and their neighbors are increasing their related military and homeland security spending with both speed and focus. Today, Mirion provides products and solutions to 19 of the NATO armed forces through a variety of applications, including militarized dosimeters and survey meters. We expect to see accelerating demand for this green gear over the balance of our planning horizon. More broadly, European civil defense agencies have a heightened interest in the food safety, environmental monitoring and in vivo assay solutions we have historically deployed in the wake of events such as Chernobyl and Fukushima. We are standing at the ready to help them meet the needs driven by elevated environmental risk in the region. Pivoting now to our medical end markets, we have seen healthy demand in orders, as evidenced by the backlog progression. As I mentioned before, we expect digitization to play a critical role in our growth story as we launch new and connected products. I’m extremely excited with our most recently announced new products, SunCHECK and SunSCAN, which add to our industry-leading radiation therapy quality assurance portfolio. The team is also making great progress on our third-generation Instadose platform, which is scheduled for release in 2023. While our end markets are healthy and our order book is strong, the lingering effects from COVID-19 on the supply chain continue to impact the predictability of our delivery windows to customers. While Brian will take you through the details on the quarter later in the call, I wanted to note this remains an issue. The most acute areas of pressure in the quarter accrued from logistics and subassembly availability. I’m impressed by our team’s ability to find rapid solutions to these light breaking issues, but we have not yet seen the end of. We expect supply chain disruptions to extend into the second quarter, and we’ll reevaluate progress and provide another update on our Q2 call in August. Given the current state of geopolitical dynamics and out of an abundance of caution, we have removed all remaining Russian-related revenue from our projections and guidance. This includes the news of the termination of the Hanhikivi nuclear power contract between a finished consortium and affiliates of Rosatom that was announced on Monday. The remaining projects affiliated with Rosatom in our backlog, primarily in China and Hungary, have not been terminated and we continue to operate in compliance with the terms of the underlying contracts. The updated guidance that we provided today reflects this decision and ongoing supply chain dynamics, offset by new opportunities in our defense and core nuclear power markets. We are confident in our ability to achieve the revised targets, understanding that any incremental revenue occurring from Rosatom projects would be accretive to our revised guidance. Turning now to Slide 4 to discuss our first quarter results, as expected, the first quarter was a tough comparison. To remind you, we saw 14% organic growth from Q1 2020 to Q1 2021. When compared to the first quarter of 2021, organic revenue declined by 4.2%, with Medical growing by 0.7% and Industrial declining by 6.6%. On a 2-year stacked basis, we delivered organic revenue growth of 10%. Performance was highlighted by strong growth in nuclear medicine and dosimetry was more than offset by impacts from supply chain disruptions across the business and project delays stemming from the Ukraine conflict. As Brian and I discussed on our last call, we have been very active with pricing actions to offset inflationary pressures. We began to see early signs of price materializing in the first quarter but we expect to see our net price cost relationship improve throughout the year. Finally, we remain focused on delivering our inorganic growth target of 5 to 10 points. We have a strong M&A pipeline and are currently evaluating a number of compelling opportunities. We look forward to providing everyone with updates as opportunities evolve. As I turn the call over to Brian, I want to – I’d like to close by reiterating that we believe Mirion is well positioned to weather the challenging operating environment, just as we have done in numerous prior cycles. Our markets are vibrant, backlog is strong, and we intend to successfully navigate through these short-term hurdles. With that, I’ll turn the call now over to our Chief Financial Officer, Brian Schopfer.
Brian Schopfer: Thanks, Tom and good morning everyone. To get started, let’s turn to Slide 5 and then walk you through our first quarter financial results in more detail. As Tom mentioned, our total company revenue was down 4.3% and adjusted EBITDA declined by 12.5% when compared to the first calendar quarter of 2021. On an organic basis, our revenue was down 4.2%. Our total revenue in the quarter was $163.2 million, with adjusted EBITDA totaling $34.9 million. As a reminder, approximately $3 million of public company costs are included in this quarter’s results versus a year ago. Normalizing for these incremental public company requirements, our EBITDA decline would be in line with revenue performance. Adjusted EBITDA margin contracted by 200 basis points to 21.4% on lower volumes and incremental public company costs. Excluding the public company costs, adjusted EBITDA margin would have been flat year-over-year. Adjusted gross margin was up 10 basis points compared to the same period last year, finishing at 50.6% for the first quarter. With lower volumes, I am pleased with the adjusted gross margin performance as cost initiatives and better mix showed improvement year-over-year in the quarter. Adjusted EPS for the quarter was $0.10, slightly better than expectations on lower taxes. Moving on to Slide 6 and 7, let’s look at our quarterly financial performance by segment. Starting on Slide 6 with the Medical segment, adjusted revenue was up 7.7% and organic adjusted revenue increased by 70 basis points. Organic growth in this segment was supported by strength in nuclear medicine and dosimetry but was offset by supply chain challenges within radiation therapy. The supply chain negatively impacted organic growth in the quarter by approximately 5%. Adjusted EBITDA margin for the Medical segment was 30.9%, a 50 basis point decline from the same period last year, driven by both volume impacts and investments in our European service center in radiation therapy. Next, looking at the Industrial segment on Slide 7, we reported a quarter-over-quarter decline in adjusted revenue of 10.1% with organic revenue declining 6.6% from the same period last year. On a 2-year stack basis, organic revenue was up 9%. Revenue performance is reflective of the difficult Q1 2021 comparisons coupled with the previously mentioned macro issues. These factors negatively impacted organic growth in the quarter by approximately 8%. Adjusted EBITDA for the Industrial segment was down 8.5% compared to the same period last year, while adjusted EBITDA margin increased 40 basis points to 27%. I’m pleased with the adjusted EBITDA margin performance despite lower volumes, reflecting good cost discipline. Moving on to Slide 8 to highlight our leverage and liquidity profile and free cash flow performance. As of March 31, we had $84 million of cash on hand and $166 million of available liquidity. During the first quarter, we generated $10 million of adjusted free cash flow, which was a slight improvement compared to the $9.8 million from the same period in 2021. Cash on operating expenses were $7.3 million, which is expected to be the highest quarter in 2022, excluding any incremental deal-related expenses. Finally, I want to walk you through the updates we made to our full year 2022 guidance. Turning to Slide 9, you can see our updated expectations for 2022. As Tom noted earlier, the actions taken remove approximately $8 million in revenue for the second quarter. For the full year, reported adjusted revenue growth guidance is now 3.5% to 5.5%, down from our original expectation of 5.5% to 7.5%. This is reflective of us delivering organic growth of 4% to 6%, which is down from the 5% to 7% we have guided to previously. Again, this is all excluding – this is excluding all remaining Russian-related projects, representing nearly 4% of our top line expectations for the full year. Foreign exchange considerations are now expected to negatively impact reported revenues by approximately 2.5% for the full year. We are still expecting CIRS to deliver 2% inorganic growth in 2022. Our adjusted EBITDA target range for 2022 has now shifted to $170 million to $180 million from our original $175 million to $185 million expectation. The updated EBITDA guidance is reflective of the removal of $14 million of Russian-related EBITDA and $1 million of negative foreign exchange impacts being partially offset by $10 million in new defense and nuclear power opportunities. Our adjusted EBITDA margin expectation remains between 24% and 25%. Our adjusted EPS outlook for the year is now between $0.44 and $0.49 per share, and adjusted free cash flow is expected between $75 million and $95 million. We feel strongly about our current financial position and believe that we are well positioned to execute on our future growth and improvement initiatives. I’ll now turn things back to Tom for some closing remarks.
Tom Logan: Brian, thank you. I’d like to highlight a few key takeaways before we open the line up for questions. First quarter was dominated by a challenging operating environment, but we believe there are many positives to take away from it, including our robust core order growth of 19% in the quarter, which signals strong future growth; supportive conditions in both our industrial and medical end markets, especially in nuclear power; and finally, the team’s ability to successfully navigate a challenging operating environment despite continued supply chain instability. Thank you all again for the time today. And with that, I’ll pass it back to Alex Gaddy.
Alex Gaddy: Thanks, Tom. That concludes our formal comments for today. We will now open things up for Q&A. I’ll turn it back over to the operator to get things started.
Operator: [Operator Instructions] We will start with our first question that comes from Chris Moore with CJS Securities. Please go ahead.
Chris Moore: Good morning, guys. Thanks for taking few questions. Maybe we will just start on the supply chain on the Medical side. So it sounds like the challenges are shifting a little bit more towards radiation therapy and nuclear medicine. Is that correct?
Tom Logan: Yes, Chris. The way I would – this is Tom. The way I would characterize our business overall is that we are a low-volume, high-mix business, and that’s reflected broadly in our supply chain. And this is both a blessing and a curse. It’s a blessing in the sense that our supply base is highly diversified, highly regionalized. And so as a consequence, our exposure to thematic issues like direct exposures to the situation in Shanghai, or more broadly, to Southeast Asia are more muted than we might find with a number of our peers. But it doesn’t mean that we see effects that oftentimes are a little bit surprising. So what we saw in the quarter was a new issue for us. As you pointed out in our radiotherapy business where we had an issue painting power supplies and this was an issue that we had worked very, very closely with our core supplier. Candidly, over a number of months, we had, we believe, good reason for optimism that we’d be able to kind of shore up the delta over the quarter. Our supplier ultimately was not able to close that gap. And this is somewhat reflective of what we saw in the December quarter on the nuclear medical side, where at that time, we noted that we had a – what I would say is broadly a comparable issue with certain subassembly components overall. And our general view around the supply chain is that as a company, our general processes have over-indexed to becoming extremely proactive, where we no longer take it as an article of faith that we will receive a key component, a key subassembly on a scheduled date. We’re extremely proactive about confirmation and reconfirmation. But still, given the state of the global supply chain overall, we continue to see issues like this, which we’ve characterized historically as brushfires that we have been successful in containing. But on the other hand, given the broad macro conditions, we don’t have particular cause for optimism right now that we’re nearing an end to this.
Chris Moore: Got it. Very helpful. Maybe just on pricing, can you talk a little bit more about the pricing escalators in your contracts? Are they different between medical and nuclear between U.S. and Europe? And finally, what’s the likelihood of having to give some price back at any point in time?
Tom Logan: Yes. So I think there are two broad elements to our revenue stream that I would encourage you to think about from a pricing standpoint. One is the revenue that flows through backlog. And typically, that represents about half of our next 12 months revenue. And within that backlog, there is a diversity of contracts. Some of them are fairly – have a fairly short turn time, 6 months or less. Some of them are multiyear in nature. What you would find across the gamut of those contracts is that the vast majority have pricing escalators and/or opportunities to essentially gain price as scope changes as schedule changes, etcetera. The key distinction between that and the remainder of our business, what we would broadly characterize as our book and bill and our subscription-based, technology-enabled services business, is that the pricing inflators have a bit of an implicit time lag. And so this is why on the prior quarter, we noted that we feel very good about the price action that we’ve taken as a company. We feel like we’ve been proactive across both the Industrial and the Medical segment. We feel that our price actions have been well received and well supported in the market, in large measure because of the criticality of what we supply and the related price elasticity of demand. But our view is that overall, again, given that lagging effect associated with price escalation and backlog, we expect to see more visible pickup in positive price cost in the back half of the year.
Brian Schopfer: Yes. Just for what it’s worth, Chris, we got about 1.5% price in the first quarter, and we expect that to pick up as the year goes on.
Chris Moore: Got it. That’s helpful. Thank you, guys. And last one for me is you have previously talked about new construction being roughly – I don’t know, 17% to 18% of nuclear revenue. Given the current backlog, the significant recent uptick in new plants being announced, do you – would you expect that percentage to look much different 4 to 5 years from now?
Tom Logan: Chris, I would. Yes, I think when you look at the dynamics that we’ve articulated, and I review that really in the context of my nearly 2 decades as CEO of this company, where we’ve seen numerous economic cycles and we’ve certainly seen a fairly significant change in fortune to the nuclear industry overall. I will tell you, without a doubt, the conditions in the industry, again, are better than they have been at any time during my tenure with this company. That’s driven by, as I noted in the remarks, a combination of strong government support across all regions. We’re seeing it in Europe, we’re seeing it in North America, we are seeing it in Asia-Pacific. Coupled with an extremely high increase in the cost of landed natural gas, which, again, we’ve noted has more than doubled year-over-year. And based on a complicated array of both supply side dynamics and demand side dynamics, punctuated by the Ukraine crisis, we expect that to continue for a long period of time. What this means is that the government support, both for the operating fleet, which represents about three quarters of our nuclear revenue or about 30% of our total business, is higher, but also, the new build activity, we think is very likely to be accelerated in a number of the nuclear states and kind of incipient nuclear states that we’ve talked about on prior calls. So I would tell you that while we’ve not updated our long-range plan to incorporate some of the emerging new assumptions around new build activity, I would tell you that collectively, we believe we will see a pull forward of certain projects into our 5-year planning horizon. Then ultimately, at that point, 5 years out that you mentioned, are likely to move the needle overall.
Chris Moore: Got it. Very helpful. I will jump back in line. Thanks, guys.
Tom Logan: Thank you, Chris.
Operator: Our next question comes from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Good morning, everyone.
Tom Logan: Hi, Andy.
Andy Kaplowitz: Tom, I just want to go into that last question a little bit more in the sense that the environment changing since Russia invaded Ukraine, you gave us a lot of examples to what countries are doing. You did add $10 million of incremental defense and nuclear EBITDA this year. But could you give us a little more color into what that incremental business actually is? And do you see the inflection accelerating as early as ‘23 in your nuclear and defense businesses?
Tom Logan: Yes. So on the defense side, first of all, in terms of the pickup of activity. This is a scenario that we’ve seen before. I want to stress that the – our company, if you were to pro forma back our current construct back to the 2011 time frame, we were deeply, deeply involved in the civil defense response to the Fukushima incident. And if you look through the pro forma impact of that, what you would have seen is episodic revenues – revenue spike of about $130 million over that period of time. And I note that because it reflects the capabilities that we have as a firm, both – I think the more intuitive military products, which I’ll touch on in a moment, but also the more comprehensive suite of civil defense solutions that we brought to bear there and are prepared to bring to bear if we see any similar type of regional nuclear incident at any time in the future. Given the acute nature of the situation in Ukraine and the sobering effect that, that has had on European military budgets in particular, where I think most strikingly, Germany announced that they are immediately evolving toward a military spend allocation of about 2.8% of GDP, having been well under 2% for many, many years. That is reflective of the heightened and acute defense posture that we’re seeing in region. And recognizing the array of potential, both military and civil defense threats that could ultimately lead to some type of radiological release, we have seen an incredible pickup in indications of interest in and around the solutions that we offer again from both the military and a civil defense standpoint. So on the military side we currently equip 19 of the NATO armed forces. We have been the incumbent Dosimetry supplier, military Dosimetry supplier for most of the last 3 decades. And we are in the midst right now and have been in a generational upgrade to the technology that we’ve deployed. We clearly expect to see an acceleration of this activity over time. And I will tell you that the indications of interest that we have seen overall are in the mid-8 digit range, again, in terms of the scope of what we could potentially see over a multiyear period in order pickup. That does not include any potential civil defense activity that might be sponsored through the IAEA, through the American federal government or by the EU itself. And so the key point here is that this is an area where we have seen a pickup in activity. We have seen this movie before, not only in Fukushima, but we were present in Chernobyl. We were present in Three Mile Island. And so we expect that, again, if there is an incident or a perception of an evolving acuteness of risk, that this may lead to some additional revenue opportunity for us overall.
Andy Kaplowitz: Thanks for that, Tom. And then maybe this is related, but you gave us the core orders number of up 19%. Could you give us more perspective on how orders have evolved over the last couple of quarters and what you expect moving forward and then how we should think about that translating over time into your segments, given the supply chain headwinds that are out there?
Tom Logan: Yes. What we’re seeing is strength in orders across the board. It’s not isolated to one segment or the other. And I think it’s reflective of the vertical market conditions that we’ve talked about. We talked this morning a lot about the health of the nuclear power industry. And ultimately, that health will translate into more recurring revenue from the installed base. It’s almost an inevitability. Again, given the fact that operators clearly are motivated and incentivized to run their power plants at higher capacity utilization or capacity factors and the life extend the existing infrastructure. And invariably, that throws off both incremental OpEx budgets and CapEx budgets, and ultimately, some of that finds its way to us. And so that is the macro demand driver that more than any other factor on the industrial side is leading the kind of order dynamics that we’re talking about. But on top of that, on the industrial side, we have the military activity that we’ve noted. That’s picking up, and we expect could pick up considerably. And with the exception of the new build activity associated with Rosatom projects that we have taken out of the forecast, otherwise, the new build activity overall would be strong. I want to be clear on that point as well. Again, I think we’re fairly direct in the commentary that we’ve made that our goal today is simply to get underneath any remaining Russian exposure, and this is why we’ve lowered guidance. To be clear, there is potential upside. We’ve heard – no, we’ve had no indications of any delays or cancellation of discussion around the projects in Hungary and China that we’ve noted in the past, that they use Russian technology. And to the extent we see that flow through in an ordinary course, that would represent upside to the year overall. Second point is on the medical side, where just, again, to reiterate, the overall demand drivers in the industry are driven by a combination of demographics and technology and new product releases. And all of those factors are undergirding very healthy medical sector demand for us overall.
Brian Schopfer: One – just one comment, Andy, I know you are going to ask another question, but I would say that – when you look at the end markets within the orders, there isn’t like a large military order or something that came in, in the quarter. This is just our normal business, right? At the end of the quarter, we’re only 4 weeks into this conflict. So I think it’s really important to point out that there is not some anomaly because of what’s going on. We haven’t really seen that in the order book at the end of the quarter.
Andy Kaplowitz: Yes. No, that’s helpful. Let me ask you a follow-up then on sort of how to think about quarterly cadence of earnings going forward. Should we assume supply chain impacts are still relatively acute in Q2 and Q3 and then sort of they get sequentially better? And obviously, you are starting out relatively low in Q1 versus your organic targets for the year. So, should we expect just a gradual ramp-up in organic revenue? What’s your visibility to that ramp up?
Brian Schopfer: Yes. So, Andy, the way I think about this is a couple of things. First off, we mentioned that we have about $8 million of revenue in the second quarter that we got to take out of the forecast, right. That revenue is very hard to replace this quick with kind of how our order profile is there. So, I think the way I think about this is, that plus some supply chain is going to make Q2, from like an organic growth percentage, look better than Q1, right, but not as good as where we had expected in our prior kind of viewpoint. What that then obviously means is we have a pretty big – we have a back half of the year that ramps. And there is good visibility to that with good order flow, frankly, in Q1 and in April that supports this. We have good line of sight to the projects that are coming and have come on delivering the back half of the year. So, we are quite confident in what we put out. But I think 2Q is another quarter that’s a little bit challenging. And then we expect Q3 and Q4 to be pretty robust. The other thing just to mention is price ramps as we go here. Like I told Chris, we saw about 1.5% in the first quarter. Candidly, I would tell you that’s a little better than what we had planned for. That gets better in the second quarter and gets materially better on the exit. So, that helps as well in the back half of the year.
Andy Kaplowitz: Thank you, guys. I will get back in queue.
Operator: [Operator Instructions] The next question comes from Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Thanks. Good morning everyone and nice to have other analysts on the call this time. So, I will kick it off, and then my colleague, Ronny, has got a few questions as well. Maybe just starting out with the quarterly performance in 1Q, I am just curious, just however you guys want to describe it as you think about both of the segments, how did things kind of trend as the quarter progressed? And then any comments on April as well would be helpful.
Brian Schopfer: Yes. I think the way the quarter progresses. So first, at the macro, the supply chain situation got more challenging as the quarter went on, frankly. And even as the month of March went on, I would tell you, more and more challenging. I think that – so that’s kind of what I would say probably about the first quarter. But again, we are fairly happy with where we ended up here in the first quarter. I think on April, I would tell you that things have gotten – are getting better, but other things are – have gotten worse. So, I think it’s a little bit of a – we feel good about where we think we will land here in April. But there is definitely some positive and there is definitely some negative. The one thing I don’t – we didn’t touch on. We talked a lot last quarter about our new med business. I will tell you, these guys had a phenomenal March. They are set up to have a very good second quarter. And I would tell you, everything we, Tom and I and the team have expected to happen there is now starting to come through into fruition. And I think that – we definitely have our feet under us in that business. So, I think that’s kind of how I would think about it. More challenging as the quarter has gone on and even more challenging as March went on.
Joe Ritchie: Got it. That’s helpful, Brian. I guess just the follow-up I have is, so the order trends were good 19%. How do I think about the conversion of that – of those orders and backlog? And then I guess maybe a related or unrelated question, you guys kept the EBITDA margin guide for the year. It’s interesting, a lot of our industrial companies are saying, we are increasing pricing, the increased inflation that’s having an impact on margins. So, I m just curious, just like the confidence in that margin guide for the year and maybe how your business differs in your ability to maintain margins there. So, I guess two questions there.
Brian Schopfer: Yes. So, maybe I will take a shot at both of them and then Tom can come in over to. First off, I would – I want to point to our industrial margins this quarter. I mean I am – we were down organically and still had very robust margin performance. So, I think first off, that points to a culture of discipline in the business. So, I – based on what we are seeing in the first quarter, based on the incremental actions we are taking on both the supply side and on the pricing side, we feel very confident about the range we put out there. I would also tell you, one of the things we are finding, which is a bit interesting is, we are seeing more inflationary pressure as we try to get things faster. But the supply dynamic on giving the supply chain a little bit more time is definitely helping our cost pressure as well, which also leads to why we are confident kind of in the back half of the year, both on margins, but also on shipments.
Joe Ritchie: Got it. And then just – I don’t know, the conversion, like the 19%, like how do you think about the conversion? How does that come through into your earnings?
Brian Schopfer: Yes. Obviously, I mean it’s kind of the same comments I made with Andy on how I am thinking about Q2 and Q3 and Q4 being a bigger ramp. So, I think that 19% is a mix of stuff that will take a couple of quarters to convert, and there are some – obviously some short-term stuff in there as well. So, I don’t – there is nothing abnormal in the mix of the order conversion that changes our profile. I think where our caution is around execution and getting – and making sure that we can execute on the second quarter.
Ronny Scardino: Hi guys. This is Ronny Scardino. So, just going to weigh in with another question, so look, we thought it was prudent you guys removed the Russia-related revenue or EBITDA from your updated guide. But what sit out at least, to me, was the fact that you added $10 million for these new opportunities in defense and nuclear. So, it would be great to try to gauge your visibility into these earnings and your confidence, I guess to achieve it this year. I mean what I am really trying to get at is, are you seeing orders that support this outlook?
Tom Logan: Yes. So Ronny, I will take that. This is Tom. The answer is yes. We are seeing the pickup in orders, both on the nuclear, commercial nuclear power side and as well as on the military side that gives us confidence in that number overall. And we continue to see, again, just kind of strong preorder dynamics in terms of the level of dialogue that we are engaged with, with relevant NATO-based military forces. And so our view is that, that number is well supported. And we are working hard to continue to do what we can to provide compelling solutions into the region. And if we do, we might see some upward bias to those numbers overall.
Ronny Scardino: That’s great. And just I guess one follow-up, what was the sales associated with the $14 million in EBITDA that you called out for the Russian impact?
Brian Schopfer: I mean, most of that is a couple of things. It’s two projects that are in our backlog Hungary and China that we have talked about. Again, I think we have some – we have optimism that we were taking more of a prudent stance in our guidance approach than, hopefully, where we land. There is – we have obviously taken out all of our direct business into Russia and any expected orders for Rosatom projects that we were expecting to get. That doesn’t mean we won’t get those orders. It doesn’t mean we won’t – between this year, next year and the coming years, continue to deliver on those orders. But I think it’s – this was really about us taking this question off the table, and that’s the key here.
Tom Logan: Yes. Ronny, I would add to that, too, that obviously, we took Hanhikivi, the Finnish project, which has been canceled out of the mix. In aggregate, I think the total is roughly $30 million that we have – from top line standpoint that we have taken out of the forecast. And so again, I think that highlights just the resilient nature of our business that our exposure to Russia directly and indirectly is probably a bit greater than our peer group. We want to be, again, conservative in our stance here. But we are very proud of the way the team has pivoted and really hit the maths in terms of delivering additional revenue in other markets. So, I think that’s the story of our history, and it just highlights the implicit diversification of our business.
Ronny Scardino: Great. Thanks guys. We will pass it on.
Operator: The next question is a follow-up from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Good morning again.
Tom Logan: Hi Andy.
Andy Kaplowitz: Brian, I just want to follow-up on cash flow for a second. Like all industrial companies, it seems like you have had to invest in working capital a bit. So, how are you thinking about your ability to generate cash flow to tackle leverage this year? And is that sort of the key focus for your cash this year?
Brian Schopfer: Yes. So obviously, we brought the – our cash flow guide down. I would tell you, there is three components of that, just for transparency. 5 is the EBITDA range – 5 is the EBITDA, obviously, the range we brought down. 5 is on interest, we are hedged through June, but we are still 100% floating and then 5 in net working capital. There is – the cash generation picks up throughout the year. I think we will see – we will see us generate cash next quarter, but we will have to invest to hit the back end of the ramp. And it’s something we are super focused on. I mean I think the teams are very focused on generating cash. We want to continue to do deals, but also de-lever. And we need to hit the market. We will hit the market there.
Andy Kaplowitz: Appreciate that. And then, Tom, maybe just a follow-up on supply chain for a second. Like you mentioned you are well positioned in the sense that you are sort of low volume, high value, that helps you a bit. But everybody is having issues with electronic components. You talked about China. Do you have any sort of direct exposure that we should know about there? And anything else we should think about as we model supply chain going forward?
Tom Logan: Yes. Our direct exposure to China, Shanghai, in particular, is very limited. Where we see the exposure would be really on kind of the second order effects that flow through our big electronic contract manufacturing firms. And the two leading firms that we use are both highly regarded global ECM players. One is in – outside of Manila, the other is in Mexico. And so we have seen discrete electronic component issues for – really throughout the last 2.5 years. We have learned to be far more proactive in terms of identifying early areas where, firstly, our kind of sales and operational planning horizon has been extended by – effectively more than doubled. Secondly, we identify and work very closely with our ECM partners to identify early on any components that may be at risk from a supply or a price/cost standpoint. And we have been effective by and large in finding alternatives where we have run into issues. Again, this is – this continues to be a pebble in our shoe. It is an environment where overall conditions continue to linger. But for us, historically, and really, as we have seen through the last three quarters, it’s meant – it’s led to more of a delay impact in certain areas that are not correlated based on issues that have emerged late in the game. We continue to – I am not happy with that. I am not happy overall that we are not delivering perfect operational performance, but we continue to get better. And the key to that is pro-activity.
Andy Kaplowitz: Thanks for that guys.
Operator: We have no further people in the question queue. So, this concludes our question-and-answer session. I will turn the conference back over to management for any closing remarks.
Tom Logan: Well, ladies and gentlemen, thanks again for your participation today, and we appreciate your support to our many shareholders. I just want to again reiterate a few key takeaways from the quarter. Challenging operating environment really highlighted by a combination of both supply chain issues and a Black Swan event in the form of the war in Ukraine. Notwithstanding all of that, we have during the quarter delivered robust core order growth again of 19%. We have seen an evolution in our vertical markets in key segments that is extremely favorable on a net basis. And I am very proud, again, of our team’s ability to navigate a very dynamic, unpredictable, changing environment. So, we appreciate all of that. We look very much forward to briefing you in August as we talk about the second quarter, and we ill look forward to that event now. So, thank you again for your time today. Good day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.